Operator: Greetings. Good afternoon everyone. Thank you for participating in today's conference call to discuss NV5's financial results for the second quarter ended June 30, 2015. Joining us today are Mr. Dickerson Wright, Chairman and CEO of NV5 Holdings, Mr. Michael Rama, CFO of NV5 Holdings and Dr. Lauren Wright, Director of Investor Relations for NV5 Holdings. I would now like to turn the conference over to Lauren Wright. Thank you. You may begin.
Lauren Wright: Thank you, operator. Before we proceed, I would like to remind everyone that this call contains forward-looking statements within the meaning of the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995, including among others, statements with respect to our abilities related to driving business development, achieving operational efficiencies, completing strategic acquisitions, expanding our backlog and achieving our 2015 guidance related to gross revenues and diluted earnings per share. The company cautions that these statements are qualified by important factors that could cause actual results to differ materially from those reflected by the forward-looking statements contained herein. Such factors include but are not limited to, changes in demand from the local and state government and private clients that we serve general economic conditions nationally and globally and their effect on the market for our services. Competitive pressures and trends in our industry and our ability to successfully compete with our competitors, changes in laws, regulations or policies, our ability to successfully execute our mergers and acquisition strategy, including the integration of new companies into the company's business, backlog cancellations and adjustments, and the risk factors set forth in the company's most recent SEC filings. All forward-looking statements are based on information available to the company on the date hereof and the company assumes no obligations to update such statements except as required by law. I would also like to remind everyone that this call will be available for replay through August 20, 2015, starting at 7:30 PM Eastern Time. A webcast replay will also be available via the link provided in today's press release and the company's website at nv5.com. Any redistribution, retransmission or rebroadcast of this call in any way without the expressed written consent of NV5 Holdings Incorporated., is strictly prohibited. We will begin the call with commentary from Dickerson Wright, Chairman and CEO of NV5. Before turning the call over to Michael Rama, Chief Financial Officer for review of the financial results for the second quarter and six months ended June 30, 2015 and outlook for the rest of the year, we will then open the call for your questions. Dickerson, please go ahead.
Dickerson Wright: Thank you, Lauren. Good afternoon, everyone. Thank you for joining us for the NV5's second quarter 2015 conference call. As you saw after the close of the market today, we issued a press release announcing our financial results for the second quarter and six month ended June 30, 2015. We reported very solid second quarter results with revenues increasing 18%, EBITDA increasing 56% and net income increasing 64% year-over-year. Diluted earnings per share for the quarter increased 32% to $0.25 per share over $6.8 million shares compared to $0.19 per share over $5.6 million shares in the second quarter of 2014. We saw our growth among all of our service lines in the second quarter, increases and request for our services and an increased backlog. I know a lot of you joining us today are already familiar with NV5 story. You may know for example that NV5 is comprised of five business protocols headed by experience entrepreneurial leaders for each of the protocols, construction quality insurance, infrastructure program management, environmental and energy. This vertically structured business model serves to help us not become overly dependent on any single industry or economy. The mix of our clients remains roughly 70% public and 30% private clients. We continue to build a strong national wide infrastructure with our acquisition of the RBA Group, also contract wins in our infrastructure vertical feed our for service line and position NV5 for further increased organic growth through what we call cross selling. I would like to continue my remarks today with more information about the acquisitions we completed since the first quarter, including Mendoza & Associates Allwyn Environmental and the RBA Group. Some details about our plan going forward to maximize shareholder value and also some recent contract wins. As I touched on briefly for companies have become part of the NV5 family through our M&A process must absolutely add value to existing operations or we will not go through with the acquisition. You may have noticed that we completed a successful secondary offering at the end of May that generated $29.4 million in that proceeds. This offering happen to be four times over sold. We have already put these funds to use by continuing to do what we assured our shareholders we would do. Growth the business strategically through accretive acquisitions like our RBA and Allwyn and grow the business organically through operational improvement. We are on track to reach $300 million in revenue by the end of 2016 and we believe we can maintain that same flat vertically structured organization with room for significant growth beyond $300 million in revenue. As I previously mentioned, we acquired Mendoza & Associates and Allwyn Associates and more recently we require the RBA Group. A little bit about RBA, it is a story of Northwest-based infrastructure engineering firm with 250 employees, seven offices in New York, New Jersey, Pennsylvania, Connecticut and Maryland and roughly $40 million in revenue. You would recognize many of RBA's clients and projects agencies like the New York Port Authority, The New York and New Jersey Department of Transportation and also the New Jersey Turnpike Authority. RBA was our largest acquisition since becoming a public company. RBA is an integral part of our plan to become a nationally dominant player in urban transportation engineering, design and planning and it is the key to our ability to fully leverage opportunities for synergy when this infrastructure vertical funnels services into our CQA, CMTCM and environmental work and also into other service lines. RBA's practice also includes strong architecture environmental service groups that we know will create a positive cross-selling opportunities for other Northeastern acquisitions, which include AK Environmental and Joslin, Lesser & Associates. We also acquired Allwyn Environmental in June, Allwyn is an environmental and energy services firm with offices in the Southwest and Northwest. An exciting opportunity was created for NV5 through this acquisition to reenter the nuclear quality assurance business, where NV5 CQA team has been quite successful in the past. As you may know considerable barriers of entrée restrict firms that can provide safety support services on nuclear plans to just a handful of companies in the U.S. that will require the NQ-1 certification. We have found nuclear safety to be one of the most profitable business within the engineering industry and we are looking forward to making a return to the space at the request of some of our largest clients. We feel confident that RBA and Allwyn will immediately be accretive to NV5's earnings. I thought I would also mention some notable new contracts we won in the second quarter ended recent weeks. [ph] awards include a $2.5 million contract with the client that we have had a 40 year relationship with the San Diego unified school district. On this contract, we are supplying as needed geotechnical engineering and construction material services. We won another contract for $5 million with San Diego County to provide on call construction management services for FAA funded improvements on eight county owned the Airports in San Diego. Both of these contracts arrived on the hills of a $23 million contract or civil program management team won with Caltrans in March. NV5 also finished engineering work in the largest desalination plant in the Western Hemisphere, the Poseidon desalinization plant located in Carlsbad, California. A project that resulted in over $2 million in fees for NV5. With the help of our infrastructure engineers the plant will provide 50 million gallons of desalinated sea water per day to 300,000 San Diego residents and will do so in the most energy efficient manner possible. In addition, we are pleased that in this quarter we have booked over $40 million of ongoing business with private clients. Clients and infrastructure, construction quality assurance, program management, environmental and energy services nationwide. Finally one of the most interesting projects NV5 recently completed was a comprehensive survey of the Great Giza Pyramid, the largest of the ancient Egyptian pyramids and the last remaining of the seven wonders of the world. Our archaeologist Joel Paulson worked with private foundations and the Egyptian Ministry of antiquities using cutting-edge technology and mathematical projections to conduct the most accurate assessment of the Great Pyramids original size and shape perform today. We continue to complete acquisitions and expand our operating margins increased energy and further solidify our reputation highly profitable markets. I would now like to turn the call over to our Chief Financial Officer, Michael Rama for a more detailed overview of the financial results for the second quarter and six months ended June 30, 2015 and also our outlook for the remainder of 2015. Michael?
Michael Rama: Thank you, Dickerson. Good afternoon, everyone. First, I will review the results of the company's second and six months ended June 30, 2015 and then I will provide an outlook for the remainder of 2015. Total gross revenues in the second quarter of 2015 were $34.5 million, an 18% increase compared to gross revenues of $29.2 million in the second quarter of 2014. Net revenues for the second quarter of 2015, was $27.7 million, an increase of 27% from the second quarter of 2014. This increase was due to organic growth of 13% from our existing platform as well as the contribution from acquisitions closed during 2015. EBITDA for the second quarter of 2015 was $3.5 million or 10.2% of gross revenues, an increase of 56% from the second quarter of last year. Total operating expenses were $12.6 million in the second quarter of 2015 compared to $10.2 million in the same period last year. The increase in operating expenses was due to the integration costs from businesses acquired after June 30, 2014 and an increase in utilization compared to the same period last year. We continue to focus on internal performance optimization and the scalability of operations as we integrate new acquisitions. Net income for the second quarter of 2015 was $1.7 million an increase of 64% compared to net income of $1.1 million in the second quarter of 2014. Second quarter of 2015 diluted earnings per share was $0.25 versus $0.19 in the second quarter of 2014. It is important to note that our second quarter 2015 earnings-per-share reflects the weighted average shares outstanding of 6.8 million shares for the three months ended June 30, 2015, compared to the weighted average shares outstanding of 5.6 million shares for the three months ended June 30, 2014. Included in the weighted average shares outstanding for the second quarter of 2015 is the impact of $1.6 million shares issued from our secondary offering on May 28, 2015. Now, we will review the year-to-date results for the six months ended June 30, 2015. Total gross revenues in the six months ended June 30, 2015 was $63.4 million, increasing by $15.4 million or 32% when compared to the same period in 2014. Net revenues year-to-date 2015 was $50.5 million, an increase of 37% from the same period in 2014. The increase was due to organic growth of 12% from our existing platform as well as the contribution from acquisitions closed during 2015. EBITDA for the six-month ended June 30, 2015 was $5.9 million or 9.3% of gross revenues, an increase of 56% from the six months ended June 30, 2014. Total operating expenses were $23.7 million for the first six months ended in 2015 compared to $18.4 million in the same period last year. Net income for the six months ended June 30, 2015 was $2.8 million, an increase of 60% compared to net income of $1.8 million for the six months ended June 30, 2014. Diluted earnings per share for the six months ended June 30, 2015 was $0.44 versus $0.32 for the same period in 2014. Our year-to-date 2015 earnings-per-share reflects the weighted average shares outstanding of $6.4 million shares for the six months ended June 30, 2015, compared to weighted average shares outstanding of $5.5 million shares for the six months ended June 30, 2014. Included in the weighted average shares outstanding for the six months ended of 2015 is the impact of 1.6 million shares issued from our secondary offering in May. Cash flow from operating activities increased $3.4 million for the six months ended June 30, 2015 compared to the six months ended June 30, 2014. Our cash flow from operating activities was $1 million for the six months ended June 30, 2015 compared to cash flow used in operating activities of $2.4 million for the six months ended June 30, 2014. As of June 30, 2015, our cash and cash equivalents were $33.8 million. At June 30, 2015, the company reported backlog of $116.8 million, an increase of 22%, from $95.7 million as of March 31, 2015 and 42% from $82.1 million as of December 31, 2014. However, including the backlog acquired on July 1, 2015 from the RBA Group, the company's backlog is $146.8 million. Our backlog is an estimate of revenues to be recognized over a rolling 12-month period. Now moving on to our outlook for 2015, during our last earnings conference call, we initiated 2015 guidance for full-year gross revenues in the range of $127 million to $137 million and diluted earnings per share in the range of $1.05 per share to $1.15 per share. We are raising our guidance for full year 2015 gross revenues recognizing the impact of acquisitions closed through July 31, 2015, which includes Allwyn and RBA. We now expect full-year 2015 gross revenues to range from $155 million to $160 million, which represents an increase up to 48% from 2014 gross revenues of $108.4 million. We further expect that full-year 2015 diluted earnings per share will range from $1.07 per share to $1.17 per share, representing an increase up to 34% over diluted earnings per share of $0.87 for the full-year 2014. Also important to note included in the guidance for diluted earnings per share is the impact of 1.6 million shares issued from our secondary offering in May 2015. Furthermore, this guidance for gross revenues and diluted earnings per share excludes anticipated acquisitions for the remainder of 2015. This completes our prepared remarks and now we would like to open the call for your questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Jeff Martin with ROTH Capital Partners. Please proceed. Your line is live. Mr. Martin, your line is live. Mr. Martin, do you possibly have your own phone on mute?
Jeff Martin: I am sorry. Can you hear me?
Operator: Yes. We can. Please proceed.
Jeff Martin: Sorry about that. Hi, Dick. Hi, Mike. Hi, Lauren.
Dickerson Wright: Hi, Jeff.
Michael Rama: Hi, Jeff.
Jeff Martin: I apologize for the background noise.
Dickerson Wright: No. We thought we are going to get a very easy question there.
Jeff Martin: Could you go over your underlying strategy to diverging the cross-selling efforts across the businesses and it seems like that is becoming a more impactful part of the business and then could you give examples of successful efforts in doing that?
Dickerson Wright: Sure. Let us talk about first, Jeff, the strategy. As you know, we made an internal announcement that we accelerated the cross-selling synergy officer with a person Scott [ph] with a tremendous amount of industry experience, license engineer and really known in various markets and what I said perhaps in the last call I know I have said to others is that cross-selling or synergy if you assign something to everyone you have really assigned it to no one, so Scott's specific role is to spend time to know what we are doing in every office and as offices join us how indeed we can use those offices as a foundation of support for the new offices for other offices for its introduced service lines, introduced opportunities that we have going forward. Our call is every two weeks, we have an internal documentation that speaks to every office mentions every service line and the leaders of those offices join a call and we measure the synergy and I think I said this before and it is dropping. We measure the amount of cross-selling or synergy we are due by the drop in the amount of subcontracted services we have had. I think I mentioned this before, but at very beginning when we went public and we were just doing $68 million, about a third of our work was outsourced to others. Now on the run rates that you heard Mike give that we were $160 million with no further acquisitions, we think that will be below 20% in subcontracted work. That GAAP though not linear, completely linear can be measured by the cost synergy. Some specific examples and let me tell you some of the things that we are excited about. We are very strong in geotechnical services on setting the Southeast and Northeast and RBA for example gave close to $1 million in geotechnical service to others last year that we already have been receiving assignments in our office in New Jersey, our NV5 office that specializes in geotechnical work and specific questions for our expertise in South Florida for geotechnical work we see that coming. You know our strategy of course is to enter that client at the highest level, enter that client at a design level and that automatically we look to feed our other service lines. Specific with RBA too is an expansion of environmental services. They do a tremendous amount environmental work and a good portion of this has been sub-consultant or subcontracted to others that we expect to see further work internally. In the West, our Program Management Group very active, you have seen the announced we have had. We have established an entire CQA office supporting just our program management group, services that prior to our being involved with subcontracted to other, so we think two things happens. We think the margins are greater, utilization is greater when we work internally and we also think that is creates more opportunities for the entire network, so a bit of a long-winded Jeff, but we are excited about the opportunities we have in cross-selling, but you have to work at it. You certainly need to work at it.
Jeff Martin: That is helpful. Given the specific areas where you that cross-selling impact. Then could you characterize in Q1 opportunity I know that is something you that you had been looking to get quite a while, took some extra time something you had to be patient for, but how would you characterize that opportunity from a revenue perspective or an impact of the overall business point of view?
Dickerson Wright: Yes. Well, we are very excited about it. The nuclear as you know that there is maybe one or two new nuclear plants being built in the U.S., but the work that we see is the ongoing requirements for inspection on existing nuclear power plants and then on plants that are being decommissioned like San Jose Mercury, so where the specific opportunity, the certification of this is a specific commitment to quality assurance over and above the private sector or commercial sector. There is redundancies of calibration, redundancies of certification that is required, so many companies it is very difficult to set aside an organization do that. When we acquired Allwyn that led to tuck-in of getting the end of Q1 certification and right now through the Allwyn acquisition we have six full-time people working at the Hanford facility that happens to be our client and ongoing in the decommissioning of the workstations and the ongoing work that is being done there. This makes an entrée that we have never had before. I can remember two years ago, one of our key clients and that was I mentioned in my opening comments. They said to us, if we can get the certification it would really open the doors to many things that we have, so now we have it and I think the margins are just a phenomenal, because when you are on that project because you have that certification and that requirements are so much more strenuous, the margins tend to be higher, the utilization rates are higher, because it is a 100% dedicated people, so the third thing is a barrier of entrée is very exclusive, so it is a very exciting thing and we think we are going to really experience some organic growth in that area.
Jeff Martin: Okay. Then, last question, Dick. In terms of acquisition roadmap, are there specific pieces, so because of that you still are looking forward at this point? Obviously with RBA you have got a bigger infrastructure platform, particularly in the northeast, but are there other pieces that you are looking to kind of continue to add that to build out the complete networks so to speak?
Dickerson Wright: Yes. Well, I will tell you what we really like and the areas we like, because obviously we like the organic growth in the margins. We want to continue to emphasize the program management piece and that is both and what we are seeing done very well within our civil program management and the horizontal work as well as the vertical work. That is entering the client at a very high level managing the program with higher margins, so we specifically have some acquisitions in our pipeline targeted for that. Second is the forensic work, our forensic engineering work, very much higher margins and that is what of course where our engineers are deposed and we are broaden on litigation and we have decided that since we know that in the U.S. it is a very litigious society, we tend to want to support the defense area in the litigation work and an insurance agencies and long time larger clients tend to be our clients that we have a good relationship with. Forensic program management and we still, and I have said this before Jeff, we really like the area of the environmental occupational health safety, the business envelope. One of the other things that we are looking for is, often scheduling and it is a specific opportunities which dovetail very nicely with our infrastructure group and our program management group, so those of kind of the areas and so hopefully I cannot get too forward, but we certainly are looking for those areas and they all have much higher margins than the industry standard.
Jeff Martin: That is helpful. Thank you again apologize for the background noise.
Dickerson Wright: That is quite all right. Thanks, Jeff.
Operator: [Operator Instructions] Our next question comes from Mike Swirsky with Global Hunter Securities.
Mike Swirsky: Good afternoon, guys.
Dickerson Wright: Hi, Mike.
Michael Rama: Hi, Mike.
Mike Swirsky: You had some pretty good organic growth this past quarter and for the year-over-year so far. I just want to get quick update. Do you still expect to see double-digit growth for the rest of the year and for the full 2015 here?
Dickerson Wright: Well, Mike as you know and Mike can certainly comment on this also, but in absolute organic growth, I would certainly anticipate improvement and that means in the absolute revenue organic growth we certainly are looking for great opportunities. We think our model that we put our technical leader as the face to the client. We do not believe in a very centralized sales organization or marketing organization. It is really a practice and we want to have our leader to answer your question. I think the absolute organic growth is going to increase, but as a percentage as you know percentages on higher numbers are more and more difficult, so we are pleased that even on a higher number we had double-digit organic growth and we are anticipating at least above the industry standard for the remainder of the year. When measured as a percentage of the total, I do not know if it is going to be double-digit, but I know it is going to be much higher than the industry standard.
Mike Swirsky: Okay. Great. With this high volume of work in your highly specialized workforce, do you have enough people to get all this kind of work time done for the rest of the year or other areas where there are certain skills that you might be in need of right now?
Dickerson Wright: Well, I think attrition. The first thing is keeping the great people you have, so we work very closely. We are very touchy and in direct contact with our people, so and our attrition rate is significantly under and I keep mentioning industry-standard, but our attrition rate is like 6% and we know a good number in the industry is 10%, and we are trying our best not to lose good people. We have an active organization internally for recruiting. We have very, very senior people full-time looking the staff positions, so it is a challenge. I think I can tell you that we see report and weekly on open positions. We do not like to see open positions, because those are revenue-generating positions normally and it is a challenge, but it is something that I think I have not seen it be a significant problem yet.
Mike Swirsky: Okay. Great. One also follow-up on Poseidon project very much in the headline obviously draught out in California, are you get in the sense are there other projects coming down the pipe here are they similar or that you can get your hands-on obviously over the next 12 to 18 months to help alleviate the draught in California?
Dickerson Wright: Are you are mention your purposing on the Poseidon project that the desalinization plant?
Mike Swirsky: Well, I guess now that is kind of done or kind of going forward are there similar projects that you have might see on the horizon either similar to that?
Dickerson Wright: I am not aware of the desalinization project, but I can tell you this. We have had significant opportunities and for the first time I think California starting to look closer at dams. I think in Southern California, we have an opportunity that we are working closely with on a retention dam. I think Mike, I wish and I do not want to lament this. I wish I could say that California is so forward thinking and there is a number of dams on horizon, but I just do not see that as it relates to water and I always think this issue will always be. In the West, it is always going to be water quantity. In the East, it is going to be water quality. We are in that position. I cannot tell you that of any specific things. I can tell you we are very active in Sacramento. We know there is a delta in the San Joaquin Delta project there is ongoing work now and it is at a crisis stage and we are doing some engineering work on that, but I do not see how California is getting in front of the problem.
Mike Swirsky: Okay. Great. Maybe I can just add one more last question here about some of your road and highway work that you have done and infrastructure work in transportation sector. Kind of what is your view on the sort of federal highway funding bill and we just got another patch for a few more month here. Do you have the sense that your customers are talking about a lot of pent-up demand for projects. Once they can get some certainty around long-term federal funding, could this would perhaps maybe impacted you hopefully in 2016 and maybe even '17?
Dickerson Wright: Mike, obviously I am an optimist, the glass half-full. I think it can only get better. I think, we have not had a long-term highway bill, but yet there is a tremendous demand for infrastructure transportation improvement. If would have ask me this quick question three or four years ago, I would have been much less optimistic, but I see now funding going. I know the positioning we have, particularly in California, and with speaking and spending time recently with our RBA folks, I see significant opportunities happening with prefunded projects in the Northeast. Obviously, we always like to have announcements out, so hopefully we will have some announcement on some newly expanded projects in the Northeast with the transportation authorities, but it is only better. I am glad to see they have a patchwork temporary pass. I would love to see a significant build a long-lasting bill pass, but the funding is certainly better than it was three to four years ago.
Mike Swirsky: Perfect. Thanks so much. I will leave it there.
Michael Rama: Okay. Thank you.
Dickerson Wright: Thank you.
Operator: Ladies and gentlemen, this does conclude your question-and-answer session. I would now like to turn the call back over to Mr. Wright for closing remarks.
Dickerson Wright: Thank you, operator, Danielle. Thanks, everyone, for participating in our second quarter conference call. We really appreciate the support of the shareholders. We appreciate those investors in the company that believe in our strategy and we are very enthusiastic and optimistic about the opportunities for the balance of the year. It is one foot in front of the other. It is staying focused and I think the main thing that we would want to say to our shareholders is, we want to do what we say we are going to do. We now have some significant funding to do more acquisitions, we have a robust organization that is constantly working on process improvement and I just want to say that without the support of our key employees and all our employees our client and our shareholders this would not be possible, so I really appreciate the support you have given NV5 and I look forward to speaking to everyone again next quarter. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference. You may disconnect your line at this time. Thank you all for your participation.